Operator: Good day, everyone, and welcome to The St. Joe Company first quarter 2010 earnings conference call. This call is being recorded. Currently all participants are in a listen-only mode. However, later you will be given a chance to ask questions. Directions will be given at that time. At this time it's my pleasure to turn the call over to Mr. David Childers, Vice President of Finance, and Treasurer. Please go ahead, sir.
David Childers : Good morning. Welcome to The St. Joe Company conference call for 2010 first-quarter results. I'm David Childers, Vice President of Finance and Treasurer, and on the call this morning are Britt Greene, our President and CEO; and our Executive Vice President and CFO, Bill McCalmont. Before we start, please note that we will address the Deepwater Horizon incident and our actions regarding the spill on today's call. Let me remind you that matters discussed in this conference call which are not historical facts are forward-looking statements that are based on our current expectations. Actual results may differ materially. Forward-looking statements are subject to certain risks and uncertainties that are described in today's earnings release and in our SEC filings. These filings are on our website at www.Joe.com. Reconciliation of non-GAAP measures mentioned in today's call can also be found in today's earnings release. Bill?
Bill McCalmont : Thanks, David. For the first quarter of 2010 we had a net loss of $11.4 million or $0.13 per share, compared to a net loss of $12 million or $0.13 per share in the first quarter of 2009. During the first quarter, we announced the relocation of our corporate headquarters to our VentureCrossings Enterprise Centre, adjacent to the new Northwest Florida Beaches International Airport, which will open on May 23rd. We're developing an office building with approximately 60,000 square feet of Class A space, of which we will occupy about one third. Construction of the office building will begin this year. VentureCrossings includes approximately 100 acres designated for retail, office and hotel uses, approximately 300 acres for light industrial uses and approximately 600 acres for manufacturing, distribution and logistics companies seeking through-the-fence access to the new airport's 10,000 foot runway. Along with the new office building we are also developing an approximately 35,000, square foot light industrial building with construction also beginning later this year. We have engaged CB Richard Ellis, the world's largest commercial real estate services firm, to help attract VentureCrossings's first retail office and industrial occupants. Marketing and pre-leasing activity is underway, and we are pleased with CBRE's results so far. Later Britt will provide more details on this activity. Turning specifically to the first quarter, we sold 2.8 acres of commercial land in Bay County for a public safety facility for $313,000 or $110,000 per acre. Also in the first quarter we sold six home sites across Bay and Walton Counties at an average of $92,000 per homesite. In the first quarter we also sold 72 acres of rural land for $400,000 or over $5500 per acre. We expect to continue this strategy initiated in 2009 of focusing on selling smaller rural acreage tracts primarily for outdoor recreational uses rather than large continuous acreage. Also during the first quarter we generated $600,000 of revenue from our sale of nine mitigation credits. Our mitigation bank strategy is one of many strategies we are exploring as we search for alternative revenue sources from our lands. These mitigation credits were from our Breakfast Point Mitigation Bank. A utility company purchased the credits for a new natural gas pipeline, and the credits satisfied their mitigation obligation across multiple counties in Northwest Florida. We have hundreds of additional credits currently available for sale from our mitigation banks, and we have the opportunity to create even more credits for sale in the future. Regarding our resort operation, WaterColor Resort revenues are up over last year on the strength of increased average rates, especially in the vacation rental segment. As of today -- and obviously, the events in the Gulf could change this -- advanced deposits and our forward-looking pace are ahead of last year as well, indicating our current expectations of a good summer season relative to 2009. Revenues from Gulf operations also increased over last year on the strength of increased rounds in spite of unseasonably cold weather. Turning to cost controls, in the first quarter we reduced capital expenditures to $1.6 million from $5.5 million in the first quarter of 2009, a reduction of 71%. Our capital expenditures this year will be mainly associated with the development of the two buildings within VentureCrossings and the repositioning of residential communities. In the first quarter we were also successful, continuing to cut expenses and reducing cash overhead costs. These costs were reduced by $4.9 million from $17.3 million in Q1 2009 to $12.4 million in Q1 2010, a reduction of 28%. Turning to the balance sheet, we've relatively no debt, cash of $152 million and a $65 million tax receivable, the majority of which we expect to receive in the second half of this year. Our $125 million revolving credit facility also currently remains undrawn. As we look to the future, we're keenly focused on our VentureCrossings development and the opportunities associated with the new airport. It represents a fraction of the more than 300,000 acres of land, we own within 40 miles in the new airport, and we're excited about our future. We have substantial financial flexibility and are well-positioned to pursue the opportunities that will contribute to building shareholder value for many years to come. The airport will be a huge catalyst for our region and, we believe, for our company and our shareholders, and they will benefit greatly from its success. Now let me pass the call to Britt.
Britt Greene: Thanks Bill, The final countdown is underway for the May 23, opening of the Northwest Florida Beaches International Airport. This is the nation's first international airport built in the last 15 years. The new airport will open with a 120,000 square feet terminal and 10,000 foot main runway, five gates and allow for operations 24 hours per day, seven days per week. The Airport Authority has a unique grand opening celebration planned and the weekend should be very exciting for the Northwest Florida region. We will also be celebrating with our employees and business partners, and we will welcome all of you to visit us in Northwest Florida, now that will be much more convenient to get here. The new airport is centered within some of our most valuable land holdings. The fact that we own over 300,000 acres within 40 miles of the new airport is extremely exciting since the long-term opportunities to create value are immense from both the commercial and residential perspective. We are prepared to benefit from the strategic commercial and residential developments that will generate recurring revenue streams and cash flows. One of the keys to our success will be minimizing the development risk and maximizing the value creation through proper phasing and absorption. We believe our recent announcements will help us to accomplish just that. As Bill stated, we announced in April the launch of VentureCrossings Enterprise Center. VentureCrossings is one of the nation's largest, most unique office, retail, hotel and industrial developments, encompassing the first 1000 acres to be developed by St. Joe adjacent to the new airport. We will be relocating our corporate headquarters, currently in Jacksonville, Florida, to VentureCrossings by late summer 2011. The reaction from the global marketplace that we and CB Richard Ellis have received about our VentureCrossings development has been very positive and encouraging. We have presented the development at trade shows and conferences in select cities across the country this year with many others planned. We will also be attending the Farnborough International Air Show in London this July, meeting with aviation and aerospace companies. CB Richard Ellis has over 5000 brokers globally who are informed about our site. With CBRE's help, we have met with over 50 site location consultants and are hosting many of them at events that we're sponsoring throughout the year. We are also developing relationships and actively pursuing business opportunities with prospects across a number of business sectors. Our top prospect list includes very well-known companies within the aerospace cluster. Also underway are the initial steps to capture interest in VentureCrossings including responses to requests for proposals, discussions about potential term sheets and letters of intent. We won't be discussing specific terms today, but we look forward to updating you in the very near future. We're beginning to see early signs of renewed interest in real estate in our region of northwest Florida. Some of this, of course, could be attributed to people and businesses feeling better about their prospects for the future, but we believe that much could also be attributed to the new airport and the efforts of our team. The new airport is a major catalyst for this region and for value creation across the land holdings of St. Joe. Although, it will take time to recognize all of the benefits of the opportunities that will arise, we are excited about our near and long-term endeavors. We understand from Southwest Airlines that ticket sales to the new airport have already surpassed the bookings that were expected as of the opening date. Southwest's CEO, Gary Kelly, said during their most recent earnings conference call last week that, and I quote, “Bookings look very, very good. It implies that we will have very solid load factors once we get up and running. It looks like it's going to be a great success”. He added, and I quote again, “Part of the game here is to get them, those, meaning the millions of visitors to the region each year out of their minivans and SUVs onto Southwest flights”. And we don't need very many of them to fill eight flights up, so it looks like our strategy is going to work very well. Southwest will commence service with two daily nonstop flights between the new airport in each of Houston, Nashville, Orlando, and Baltimore-Washington. In addition to the eight daily nonstop flights, Southwest will offer direct or connecting service for more than 60 other destinations across the United States. Studies have shown that the economic development impact of a new international airport is great, yet we recognize it will take time for significant demand to be created and sustained. Our financial resources allow us to be focused on the most opportunistic and creative of both the residential and commercial prospects. In 2010, we will focus on specific development initiatives in programming and residential including Breakfast Point, WaterSound and RiverTown here in Jacksonville, which will cover a number of different housing products and price points during the year. On the commercial side, our focus is VentureCrossings as well as out parcels in numerous locations throughout our land holdings. We are actively exploring ground lease and build-to-suit opportunities with prospective customers. As you have seen, over the past few quarters, we have successfully sold valuable commercial parcels and we expect this trend to accelerate as economic development throughout the region grows. We are truly energized about the opportunities and transactions in our future, and we look forward to sharing the news with you. Now let me turn to the Deepwater Horizon incident in the Gulf of Mexico. I will limit my comments to what we know, and what we are doing to protect our assets and will stop short of speculating on the likelihood of successfully capping the well or the possible duration of the oil spill. The most recent reports from the National Oceanic and Atmospheric Administration indicate that the eastern edge of the surface sheen associated with this oil spill is approximately 45 to 55 miles south-southwest of Pensacola and approximately 90 to 105 miles from WaterColor, and even further from our other beachfront assets. British Petroleum is the responsible party for the oil spill with oversight provided by the US Coast Guard and support from a number of local, state and federal agencies. Florida's Governor Crist has declared a state of emergency which designated the Florida Department of Environmental Protection as the lead state agency to coordinate emergency response activities among the various state and local governments. Several Northwest Florida counties are included in the emergency status, including Walton, Bay and Gulf Counties. This declaration recognizes the potential need to deviate from statutes, rules, ordinance and orders to cope with this emergency. Both Walton and Bay Counties have activated their respective emergency operation centers and are in constant communication with officials from the state, the United States Coast Guard and the Homeland Security Command Center. As to our actions, we continue to monitor the situation through our contacts at DEP, Florida Fish and Wildlife Conservation Commission and the Bay and Walton Emergency Operation Centers among others. We will actively maintain excuse me, our open dialogue with all relevant agencies and continue to monitor the reports in real time. We have engaged a number of resources and the oil and environmental science industries to help us develop a plan of action to protect our assets. These experts have advised that the most effective means and methods for containment and prevention are all waterborne. British Petroleum, the Coast Guard, Navy and several private specialists have already deployed these measures. We have engaged an aerial photography firm to take both vertical and oblique high-resolution aerial photographs of our lands to document the before condition of our beachfront assets. We have engaged an engineering firm to collect a number of soil samples from each of our beachfront properties to document the total petroleum hydrocarbons in a baseline before condition. This will allow us to make a claim in the event our beaches are impacted. Collection and testing of soil samples within St. Joe's beaches including WaterColor and WaterSound beach have been completed. Also underway are preparations by Bay and Walton counties to protect the unique coastal dune lakes in our area. That protection starts by lowering the lakes water levels and placing sand berms at the lakes outfalls isolating them from the Gulf of Mexico. Our retained disaster response consultant has referred us to Shaw Group for additional expertise. Shaw is a Fortune 500 publicly traded company with an environmental division and resources adept and experienced in events of this type. Shaw has been retained by Joe to provide the following services, assistance in refining, modifying and finalizing response preparations; spill tracking and technical consulting support; spill response and procurement support to help us bid and stage contractors throughout the preferred national network of vendors, as well as management of the selected vendors and the documentation of any post impact conditions with industry credentialed expert witness level data. In summary let me say, as of this time, we have not experienced any direct impact from the oil spills. We are deploying resources to provide clean up services in the event our beaches are impacted and we are very focused on protecting our assets and minimizing any possible impact from the spill. With that, Bill and I are now happy to take any questions that you may have. Thank you.
Operator: (Operator instructions) We will take our first question from Sheila McGrath at KBW. Please go ahead.
Sheila McGrath – KBW: Good morning. I have a few questions. First, I was hoping that you could review with us, again, agreement with Southwest, the loss sharing agreement and your expectations on that. And if there is any impact from the oil spill, would that be part of the claim?
Bill McCalmont: Sheila, as you know, at the end of last year we recorded a liability associated with our potential obligations to Southwest. We reviewed that liability during this quarter and made no changes. Going forward as it relates to any changes in their service levels or their load factors as a result of the oil spill. We'll obviously monitor that going forward and then work with Southwest to determine if the oil spill caused any drop in bookings. Part of our agreement with Southwest has a floor as to revenues, so in the sense they own a certain level of revenues and anything that would fall below that is their obligation. And I suspect that as events unfold, they will review their business interruption policies. We'll obviously be reviewing our business interruption policies. And ultimately, any claim that we make or they make against British Petroleum will include what we perceive to be any diminution of load factors, if in fact that actually occurs.
Sheila McGrath – KBW: Okay. And just from an accounting perspective, Bill, in terms of hiring these consultants and stuff, will this be like expensed in second quarter, or how should we think about those costs?
Bill McCalmont: Those costs will be expensed as incurred, and again, we would anticipate including all of those costs in any claim we make against British Petroleum.
Sheila McGrath – KBW : Okay. And then moving on back to the commercial land around the airport, I was just wondering if you have seen any pickup in interest since you've engaged CB commercially?
Bill McCalmont: Yes, we have. I think the nice thing about it, Sheila, is that every week they have a conference call that goes out and gives an update to their 5,000 brokers worldwide. As a result, we've seen interest not only from a national but from an international group of businesses interested, and in some cases not all aerospace and aviation interests. There are other economic cluster groups that have expressed interest in the location.
Sheila McGrath – KBW: And would these people be looking at new development, or is CB also working on leasing up the balance of this space in a building that you are developing?
Britt Greene: Actually, both. They will be handling the lease for the light industrial building, the Class A office and interested parties in other parcel or vertical development.
Sheila McGrath – KBW: Okay. One last question. On the mitigation bank that you talked about, what is the pricing? Do to have that like boiled down on a per-acre basis? How exactly does that work?
Britt Greene: Actually, range is based on the quality of -- there is a range of value there, and it's really based on the quality of the wetlands that are being impacted and the credits that are being used for that impact. So there is no hard and fast market price for credits but suffice to it the value -- for the quality of our credits command the highest prices in the marketplace.
Sheila Mcgrath – KBW: And one last question. In the New York Times, I believe it was yesterday, there was an article about -- from some Gulf of Mexico experts commenting on potential damage and saying that some of the reports were exaggerated and kind of comparing it to Valdez. So, I'm just wondering what your consultants are saying at this point compared to other situations.
Britt Greene: Well, at this point in time they don't -- certainly it's not the same type of consistency. The oil is different because of the location offshore from our locations, it's different. If you remember, the Exxon Valdez was actually in the bay, it was near the shoreline and so the disbursement of the oil and the dilution of the oil was such that there it didn't really have that opportunity. Here, it's so far out in the Gulf that it's actually -- the natural dilution of that oil spill is recurring while it's in this drift mode. But I think, Sheila, everybody needs to remember this well is still spewing oil 5000 feet below until they get it capped off. Any anticipation or predictions about what the impacts will be or still unknown?
Sheila Mcgrath – KBW: Okay. Thank you.
Operator: We’ll take our next question from Buck Horne, Raymond James. Please go ahead.
Buck Horne – Raymond James: Hi, thanks good morning, just wondering if you've related to the oil spill. You guys have a pretty active view in terms of bookings at your resorts. Any early cancellations or any indications from concerned customers at your resort about the spill? Have you seen any impact with summer vacationer yet?
Bill Mccalmont: Buck Yes, we've had some modest level of cancellations that we attribute to the news reports about the oil spill. I guess about 8% of the calls we're receiving through res [ph] center and at the Inn, relate the questions about the oil spill and its impact on the beaches. We've had some group ask us about plans for the oil spill on addressing any wash up on the beaches. But as Britt said, at this point it's still a good distance from our beaches, and there's no certainty that it's going to hit the beaches. So, I would characterize the calls and the cancellations right now as modest. And again, to the extent that there are ongoing cancellations, we will be documenting those and including those in the claim we have against BP for loss of revenues and profits.
Buck Horne – Raymond James: Related to the commercials land sales efforts and the lease-up effort there, I'm trying to understand why we haven't started to see at least some acceleration in the pace of either commercial land sales or some pre-leasing activity or signed letters of intent. Is it intentional for you guys to try to hold back on signing too much before the airport is fully opened? Or is there any color you can give us on just what the potential pipeline of leasing activity looks like that CBRE is working on?
Britt Greene: Well, it's our intent to announce when we have something signed and it's real and it's in contract form. We have, in the past recently have always gone to that level, Buck, and a lot of it has been -- it wasn't really believed in the world that this airport was even under construction last year, as early as last year. So a lot of education by CBRE and ourselves in the marketplace is starting to turn to positive and I would say, progressive reaction from a number of different industry oriented companies. We are not going to release information again until -- when a lease is signed or we have a specific deal under contract. We'll certainly make that announcement and we will do it regularly as we go. I think a little bit has been from some, to wait until this airport is open. But I can tell you, it has progressively each month, gotten more and more towards being able to talk openly about the opportunities ahead. But it will be slow going forward and a lot of this has to do with the marketplace and making sure whether it's a relocation or an expansion. And frankly, we are going slow on leasing because we want to make sure that those first available spaces are made available for companies who want to relocate, bring new economic dollars into the region or expand or consolidate from other areas of the region into the location. Certainly, we could go out early and get some local opportunities, but that really is just moving dollars inside the community when we could bring outside influence where we have specific interest already taking place.
Buck Horne - Raymond James: Okay, great. Just kind of switching gears to the Southwest bookings, is there anyway you might be able to tell which of their markets and destinations look strongest so far in terms of new bookings?
Britt Greene: Yes, Baltimore-Washington, that's a combination, a lot of that is defense related, military interest in that nonstop to Baltimore and vice versa coming from Baltimore down to the military facilities. In addition to that, I know Nashville and Houston are up there too. But all four nonstop locations are doing very well and are ahead of projections.
Buck Horne – Raymond James: Okay. And my last one is just on back to the mitigation bank credits. I mean, do you guys have any estimate of value that you could share with us and what you think that total bank is worth to you guys?
Britt Greene: No. I will tell you it's a large number. When we said there is hundreds of credits available and there's more that we could create. I would not want to speculate on the possibility. And what you can look for is as construction starts to build in the region, the impacts of wetlands will start to increase and the fact that we have one of the few available high-quality mitigation banks in the region will speak to a better opportunity to actually command better dollars off of credits sales.
Bill Mccalmont: And those credit sales are available to both private developers as well as public entities.
Buck Horne – Raymond James: All right. Thanks, gentlemen.
Bill McCalmont: Thank you.
Operator: (Operator Instructions) We’ll go next to Jim Wilson at JMP Securities. Please go ahead.
Jim Wilson – JMP Securities: Good morning, gentlemen.
Unidentified Company Representative: Hi, Jim.
Jim Wilson – JMP Securities: I was wondering, well, let's see. First I guess, on the airport and the flights, Delta’s plans and timing and are those flights just going to come from Atlanta? Do you have a little more color on that?
Britt Greene: Atlanta and Memphis and when the airport opens they're putting on a larger jet; they are going from a regional jet to an MD-88-sized jet, so more seats coming from the Memphis and Atlanta markets. I know they are exploring other nonstop to hubs outside of Atlanta and Memphis, however.
Jim Wilson – JMP Securities: Okay. And then my other question, I mean it's never discussed much, but longer-term West Bay and the greater vicinity; any sense currently of timing of anything residential, when you might get started beyond, obviously, the current office building plans and everything you've already discussed?
Britt Greene: Residential is certainly in the mix, but I would say that its a few years out as the job growth in and around the airport creates enough of demand for near residential. If you remember, we do have RiverCamps nearby, which we expect to go more from the resort to the primary level of housing. In addition to that most of the services people are looking for currently are down along U.S. 98 in Panama City Beach, where the current public shopping centers and the Home Depot and Lowe's of the world exist and the schools are already in play. So job creation around the airport will create the demand for residential in the West Bay Sector as we move north off the beach. But for right now most of the residential for the next few years will be located down near the coast in the Panama City Beach region.
Bill McCalmont: And our Breakfast Point development is on Highway 98, close to that Publix, Lowe's, Home Depot area that Britt mentioned. And that we expect to move forward with later this year.
Jim Wilson – JMP Securities: Okay. Right. Okay. Thanks.
Bill McCalmont: Thank you, Jim.
Operator: And that will conclude today's question-and-answer session. At this time I'd like to turn the conference back to Mr. Britt Greene for any additional or closing remarks.
Britt Greene: Thank you all for participating and listening in today. You need to know that we are spending every day with our focus and attention on the business of the Company; but also know that we have included and also paying attention to this oil spill and the potential impacts. Have a great day and look forward to talking to you in 90 days. Thank you.
Operator: This does conclude today's presentation. We thank everyone for their participation.